Unidentified Company Representative: Hello and welcome to Rakuten's third quarter earnings video session. We've just had another quarter of double-digit growth in earnings. It's been tough times for all of us with the pandemic, but we're fortunate to see an increasing number of consumers digitalizing their lifestyles and turning to Rakuten. After all, we are Japan's leading Internet company offering almost every kind of digital service, from shopping all the way to online trading, even golf. Indeed, both EC shopping GMS and our securities business revenue grew some 30% year-on-year. All these services make up what we call the Rakuten Ecosystem, and today, you'll hear the latest from each core business leader: e-commerce, FinTech and our Mobile business. With regard to Mobile, this quarter, we launched the world's first cloud-native 5G service only 6 months after launching 4G. Our Mobile CTO will explain how the technology enables us to offer the most affordable 5G service in Japan. Our consolidated operating loss primarily reflects the costs of building out this Mobile business. Our CFO will share the financial strategy around how we're funding new businesses for future return. So full disclosure. You'll hear from our entire C-suite on how we're expanding the value of our ecosystem. It's a KPI we call membership value. More on this from our CEO, Hiroshi Mikitani, who's here to share his vision and strategy.
Hiroshi Mikitani: I founded Rakuten 23 years ago with a passion to revitalize Japan and with the conviction that the Internet will change the world. That feeling has not changed. Rakuten mission remains empowering people and society through the innovation and entrepreneurship as we work to grow together with local communication and the individuals. At the time of our founding, no one believed people would buy things on the Internet, but we made the impossible possible through innovation. We redefine expectations. With tremendous speed, we've delivered a constant stream of innovations. And we are not allowing the pace to slow down in our 24th year since the foundation. Rakuten continue take on new challenges. We are on track to become the #1 tech company in Japan and a leader in global telecom industry. Rakuten was founded in 1997 with just 2 people, and now we have more than 22,000 employees. Starting out with Rakuten Ichiba e-commerce marketplace. We added fintech, content and mobile; and now offer more than 70 services. In 2019, total e-commerce GMS in Japan was ¥3.9 trillion and total global GTV was ¥19 trillion. The number of Rakuten IDs in Japan is over 100 million, and the number of members across the world is 1.4 billion. Here's a look back on Rakuten's track record of growth and innovation since our founding. In 1997, we opened the Internet shopping mall Rakuten Ichiba. Our concept was to make it easy for anyone to open a store on our marketplace. In April 2000, we went public through an IPO on the OTC market only 3 years after foundation. In the late 2000s, we established our vision for the Rakuten Ecosystem. The concept was a business model that connects multiple Rakuten Group services and enhanced the mobility of users between our services. From 2010, we started to expand globally with the acquisition of overseas businesses. In 2013, we shifted our stock exchange listing from Jasdaq to the first section of Tokyo Stock Exchange. Since 2006, we built up various services to become #1 in areas such as credit card, banking and MVNO, with a focus on expanding the Rakuten Ecosystem. With the pandemic now accelerating society's digitalization, our strengths in online and cashless services has further enhanced the value of Rakuten Ecosystem. Since 2017, Rakuten's global brand recognition has dramatically increased through the partnerships with global sports properties such as FC Barcelona and Golden State Warriors. In April this year, we entered the mobile carrier business by launching the world's first fully virtualized cloud platform. The technology allow us to offer one simple, inexpensive price plan. Rakuten has led the world in digital transformation in the development of a variety of online business centered around membership. As a result, we boosted higher and more sustainable growth than traditional single-vertical industry companies. Our 2019 year CAGR of total e-commerce GMS in Japan is more than 30%. This is much higher than average growth rate of off-line retailers which is almost flat. Our current growth is even stronger. Rakuten Travel GTV CAGR has also grown significantly to plus 15%, while the industry has been sluggish at negative 2%, over the last 14 years. In addition, Rakuten advertising sales has grown to 18% at a 3-year CAGR despite the overall industry slowdown to negative growth. Despite the more recent impact of the pandemic, advertising sales continues to grow at double digit. In credit card business, where we have been -- held the #1 spot in the industry since 2017, the shopping GTV CAGR has been over plus 74% over 14 years. In online banking, where growth has accelerated due to the pandemic, Rakuten Bank is a leader in terms of online accounts and then deposit balance and continued to grow steadily. I am confident the foundation that has supported our long-lasting growth is the culture of Rakuten which accommodates diversity of our employees around the world. In 2010, Rakuten announced to change its working language from Japanese to English and made that transition in 2012. This initiative was very effective not only in deepening internal communication but also in strengthening hiring the various top talents and the engineers from all over the world. I think this was one of the biggest success factors of Rakuten to become truly a global company. A key contributor to growth and expansion of our ecosystem is a membership model. Under this membership model, users can use multiple services in our ecosystem with same ID and get rewarded through our point program. By linking 1.4 billion members around the world, we have found a very unique ecosystem, which we call Rakuten Ecosystem. Rakuten members can accumulate and use Rakuten points when they are shopping or use other services, and that has been building very strong sense of loyalty among our members. And Rakuten Ecosystem also leveraged our wealth of data from our users and created a business model which is very, very unique and very, very strong. Rakuten's services began with transaction business such as Internet shopping or travel, but now we are diversifying. We have increased member engagement through reward programs such as ID program points, have expanded the business domains into fintech and advertisement. We have also expanded into the off-line domain through payments and credit card and so forth. For Rakuten, membership value is one of the most important KPI to measure the value of our ecosystem. This is the source of our business value and very good measurement of how valuable our group companies are. Membership values represent the current value of membership. The user's lifetime value, LTV, lifetime value, is calculated including the retention rate and also retention cost. The membership value is the sum of LTV minus customer acquisition costs, CAC, from this. By reducing the customer acquisition costs, the membership value will become larger. The amount we save by lowering customer acquisition costs will reward loyal customers with points so that they become even more loyal to our ecosystem, and we can increase the value of their lifetime value and our ecosystem. This is the center of our thinking. Membership value was ¥7.8 trillion in the third quarter of 2020. We will further raise this up and aim to achieve ¥10 trillion in -- as soon as possible. By promoting Rakuten Ecosystem, breaking down the boundaries between online and off-line, we aim to further expand our market share of total personal consumption in Japan, which is about ¥352 trillion annually. Let's talk about some of innovative projects we are engaging at this time. The first one is our Mobile business. We launched full-scale commercial 4G service in April this year and also launched our service in September. By building the world's first fully virtualized network, Rakuten Mobile can reduce capital investment by at least 40% and operating costs by at least 30% compared to conventional networks. It's much more efficient. We introduced Rakuten UN-LIMIT 5 unlimited data plan that meets the large capacity demands of 5G by significantly reducing costs through this fully virtualization concept. There are no additional fee for 5G on top of 4G for this plan. It is free for the first 12 months and then only ¥2,980 or about $28 for the second and subsequent years. On November 4, we announced our Zero Declaration, our commitment to reduce customer burden further with making some administrative contract-handling fees, MNP transfer fees to 0. And we also brought new concept for sign-up which we call it eKYC, which new subscribers can sign up only through the Internet with the assistance of AI. Rakuten Mobile is more than just a mobile carrier service in Japan. We are planning to build Rakuten Mobile platform global telecom platform. So we have 2, basically, vehicles. One is Rakuten Mobile service in Japan and Rakuten communication platform business globally. We are very, very ambitious, but we are also very, very confident. Let me introduce one more example of how innovative we are, which is Rakuten Medical. Rakuten Medical is our affiliated company and now developing cancer treatment platform called Illuminox platform. This is a technology which are developed to fight against various diseases, including cancer. We combine drugs with laser technology. In September 2020, we obtained manufacturing and marketing license from Japan for head and neck cancer. This is a moment step towards realizing our grand dream of conquering cancer. Here are the Rakuten Group highlights for the third quarter of 2020. Due to the increase of transactions in shopping and credit card, we steadily increased revenue even during the pandemic. That's the power of our ecosystem. We also accelerate the acquisition of new members, including our -- through our fintech businesses. Rakuten Ecosystem has continued to grow and adapt with new services that meet changing customer needs, advancing and constantly innovating ourselves. With communication now our new pillar, telecom business is very, very important part of our ecosystem. And our business will continue to evolve, and we are going to keep innovating on a global scale. On top of that, the pandemic is accelerating digital transformation. Rakuten Ecosystem is built to capture this social transformation and opportunity, and we expect to accelerate our growth under these conditions. We all are very thankful for all the stakeholders of our group services: customers, client, shareholders. Thank you very much. And we want to walk together with all of you and make the world a better place and keep continuous growth of our business. Thank you very much.
Unidentified Company Representative: Here is the total domestic e-commerce GMS for the third quarter. Despite the impact of the rush to make purchase ahead of the consumption tax rise on October 1, 2019, GMS remained strong. Operating income growth also turned positive for domestic e-commerce as a whole due to the strong performance of the e-commerce business centered on Rakuten Ichiba and an improvement of the travel business. Regarding the detail of operating income. The e-commerce business, centering on Rakuten Ichiba's, increased by ¥5.9 billion year-on-year. On the other hand, businesses impacted by COVID-19, including Rakuten Travel, decreased by ¥3.2 billion year-on-year. Logistics investment continued, resulting in an operating loss of approximately ¥8 billion in the third quarter, which is ¥2 billion higher than in the third quarter 2019. Domestic e-commerce GMS growth rate is accelerating, and the total GMS is planned to reach ¥4 trillion this year -- japan's B2C e-commerce market was estimated to be about ¥20 trillion in fiscal 2019. And since that is only 6.4% of total household consumption of about ¥300 trillion, we can expect further growth to continue. Considering the market size of each item within total household consumption, we expect huge room for online growth in the future. Shopping e-commerce GMS, including Rakuten Ichiba and first-party business, grew significantly in Q3. Despite the impact of the consumption tax hike on October 1, 2019, 2 years CAGR in Q3 was more than plus 25%, growing steadily and strongly. At Rakuten Ichiba, in line with expansion of new users, the monthly purchase amount per person has also increased. In addition, about 75% of users who made a purchase on Rakuten Ichiba in the second quarter also made a repeat purchase in the third quarter. At Rakuten Travel, GTV is improving due to the relaxation around going out. The government's Go To Travel campaign, the recovery has been more rapid than the industry as a whole. In addition, reservation-based GTV is currently growing significantly, and overall growth is expected to turn positive in the fourth quarter. At Rakuten Rewards, our U.S. Cashback loyalty reward site, the total amount of GMS has decreased due to the impact of COVID-19, especially in the travel business which comprised a large proportion of GMS. On the other hand, Rakuten's recognition has steadily increased due to the rebranding strategy implemented in 2019.
Unidentified Company Representative: Rakuten GORA is number one in Japan in terms of recognition as a golf course reservation side. As COVID-19 spread, golf has seen increasing demand as a sports that can be enjoyed while maintaining social distancing. Rakuten took leading initiatives in the golf industry to conduct interviews with all golf courses and posted COVID-19 countermeasures at the golf courses on its website. In addition, our golf course gallery using drones that can be enjoyed and watched online at home was also launched at the same time, and so our domestic market share in golf has further expanded during COVID-19. In addition, 76.8% of Rakuten GORA's active members used other services within the Rakuten Group in the third quarter. And the cross-use ratio between golf and other services were increasing. As a result, golf GTV reached a record high in the third quarter. We will continue to strive to provide an environment where users can enjoy golf safely and securely while utilizing the Rakuten Ecosystem.
Unidentified Company Representative: In our first-party business, which are in growth phase, we aim to become a more attractive e-commerce site for users by strengthening our sales by genre and our characteristics of products. Furthermore, with Rakuma operating C-to-C service, we aim to expand the Rakuten Ecosystem by acquiring new users, mainly young people; and encourage the use of other services within the group. Rakuten Fashion released an app in June, and active users are increasing. In addition, the acquisition of popular brands is accelerating due to the improvement of Rakuten Fashion's image by enriching creative content and through the expansion of online brand sales channels during COVID-19. Recently, we opened a microsite within Rakuten Fashion called Rakuten Fashion Luxury, encouraging more luxury brands to come to the site. Thanks to these initiatives, the total GMS amount of the entire Rakuten Fashion and the upper genre of Rakuten, including Rakuten Ichiba, is number one in Japan. In addition, the cumulative number of downloads for the flea market app Rakuma has exceeded 25 million. The membership based is expanding because it had the lowest sales commission in the industry and Rakuten points can be earned and used. And sales proceeds can be used at other services in Rakuten Group. The majority of users are young people, about 70% in the 10s to our 30s age group. In addition, nearly half of the sales proceeds from Rakuma or charges to Rakuten Cash are used at Rakuten Group services other than Rakuma. This contributes to the strengthening of the ecosystem in terms of both the customer base and the economic benefits.
Unidentified Company Representative: In our logistics business, we are building a highly efficient end-to-end logistics platform that makes full use of the power of data and technology. The 2 main businesses are Rakuten Super Logistics, which is making inbound and outbound shipping as well as the storage for the merchants' products; and then Rakuten EXPRESS, which delivers product to the customer's home through Rakuten's own distribution network. Including Chuorinkan, which will open next year, we will have 9 automated labor-saving fulfillment centers in 8 locations. In addition to the centers for the merchants, we are continuing to invest in fulfillment centers for our first-party business. And a new fulfillment center for Rakuten Books started operations in Ichikawa at the end of the last month. Rakuten EXPRESS, our in-house delivery service, is also expanding its business steadily. And as of September 2020, our area of delivery covered 63.5% of the population of Japan. Rakuten EXPRESS has an unattended delivery service and supports non-face-to-face pickup and delivery options to further improve convenience for customers and prevent the spread of COVID-19. Furthermore, we plan to combine multiple orders in one delivery in the future, aiming to further improve user convenience and delivery efficiency. The number of merchants using Rakuten Super Logistics has increased approximately 9x since August 2018. In addition, since August 2018, the shipment volume of Rakuten fulfillment centers has increased about 9x. We have received a large number of inquiries from the merchant, and we anticipate the existing fulfillment centers are set to grow to full capacity. By opening new base one after another, we will contribute to the efficiency of logistics operations of our merchant and help them to grow their GMS. At Rakuten Seiyu Netsuper, which will handle fresh food, GMS increased by 35.9% year-on-year in the third quarter. The month of October was also healthy, exceeding 50% year-on-year growth. In order to meet strong demand, we plan to open a new base in Kohoku soon, with a focus on automating and labor saving. In order to support further growth of our e-commerce business in the future, we are continuing to invest with aim of improving user experience and improving the logistics efficiency of each of our merchants.
Unidentified Company Representative: FinTech business has shown its online strengths even under COVID-19 and recorded strong profit growth of 35% Y-o-Y due to strong performance of the card and securities businesses. The number of users who use major three services, card, bank and securities, is showing high growth. Various measures to generate synergies among the services have worked very, very well. Rakuten Card achieved double-digit growth in both revenue and profit. Despite the impact from the last-minute demand before the consumption tax rate hike in September last year, shopping transaction volume increased, and that brought strong results. The transaction volume of the credit card industry overall had fallen sharply due to COVID and, since then, has continued to show negative growth and has yet to return to previous levels. On the other hand, Rakuten Card has already bottomed out and it's recovering to the previous growth levels. Other companies are mainly affiliated card businesses which were heavily impacted by the decline in the travel industry, restaurants and retailers due to COVID. On the other hand, Rakuten Card has a high usage on e-commerce, represented by Rakuten Ichiba, which resulted in the [indiscernible]. Rakuten Card's advanced credit management has led to an accumulation of high-quality assets, resulting in low ratio of expense related to doubtful asset even in COVID environment. Rakuten Card continued to grow above market average even after becoming #1 in terms of transaction value in 2017. In fact, it reached 20 million card members in June this year while maintaining double-digit growth. In addition, Rakuten Card has an high customer loyalty and has been ranked #1 in customer satisfaction for 11 consecutive years. Behind the high level of customer satisfaction is customer convenient, enabling all transaction on a smartphone. You can easily check spending and changing to revolving payment within the same smartphone app. This high level of convenience creates customer satisfaction, which lead to strong business performance. In the new normal, virtual payments such as e-commerce will increase, as well as the off-line credit card usage, which will expand the cashless market. Rakuten Card will become the most used credit card both online and off-line, and the market share will further increase from the current 20%. We will continue to expand our business, post COVID, to increase shareholder value.
Unidentified Company Representative: This is the third quarter financial result for Rakuten Bank. As a result of steady expansion of the business and use by more customers, operating revenue increased by 5.8% Y-o-Y. However, operating income was flat due to costs related to relocation expenses. Rakuten Bank is the number one online bank in terms of number of accounts. Currently we have overwhelmingly more accounts than other online banks, and the number of accounts continues to grow double-digit Y-o-Y even at this scale. As of the end of September, the number of accounts was 9.45 million, and we have acquired more than 1.5 million new accounts over the past year. The reason why so many customers applying to open account is because of maximizing on the Rakuten Ecosystem and a direct effect of our group synergies. Among the applications of new accounts, the ratio of application from the Rakuten Group is increasing, reaching 66.5%. Group synergies are also very effective in the account linkage service with Rakuten Securities called Money Bridge. The deposit balance of Money Bridge exceeded ¥2 trillion in August. Money Bridge's deposit balance has doubled over the past year and continued to grow rapidly. More and more customers are using Rakuten Bank's account as their main account for daily transactions. The number of customers receiving salaries via Rakuten Bank has increased sharply by 51.8% Y-o-Y. The number of customers who use direct debit to pay for water, gas, electricity, various taxes and credit card usage is increasing by 47.1% Y-o-Y. Due to the impact of COVID, many banks are shifting to online, especially traditional banks as they are beginning to put more focus on online banking. Rakuten Bank will face fierce competition on online banking, where Rakuten Bank has historically succeeded. However, we feel it's a great opportunity. We will continue to grow Rakuten Bank's business by providing convenient services to our customers by leveraging experience in Internet banking and group synergies we have cultivated so far.
Unidentified Company Representative: Rakuten Securities has had the most number of new accounts for 2 consecutive years, and the growth rate has been the highest in the industry. Since 2017, we had provided an investment service that uses Rakuten points to attract investment beginners. Here is the third quarter result for Rakuten Securities. We recorded double digits growth in both sales and profit as a result of increased trading volumes of domestic and U.S. stocks. Number of accounts has grown rapidly in the last few years due to the Rakuten Ecosystem. In 2020, we achieved about 970,000 new accounts, 1.6x that of SBI SECURITIES. Approximately 60% of new customers are in their 30s or younger, and the ratio has increased significantly. The Rakuten Ecosystem is being used to attract the younger generation who had worried about the future and starting to build asset. We are providing services that take advantage of Rakuten Group's strengths such as point investment, investment trust, regular savings with Rakuten Card and account linkage with Rakuten Bank. As a result, investment trust asset size and number of holders are the highest in Japan. U.S. stock trading is also increasing. The number of transaction in September became 14x from the previous year, of which half are via the smartphone trading app which launched in April. Rakuten Securities will continue to leverage the Rakuten Ecosystem to be the most selected securities for a wide range of people, from general consumers to day traders.
Yuzo Hashiya: Rakuten insurance business has a full lineup of life, general and pet insurance. Furthermore, we established the general information center to improve convenience by providing a one-stop service. Operating income for third quarter was ¥1.8 billion. Having gone through large-scale natural disasters, we actively utilized reinsurance to manage risk. As a result, our operating income increased by ¥2.4 billion Y-o-Y. One of the drivers is synergies with the Rakuten Ecosystem. We offer various products and services in collaboration with Rakuten Ichiba; for example, extended warranty insurance and free pet insurance and many others. Furthermore, we collaborate with Rakuten Bank to offer insurance for mortgage users. In addition, we developed Japan first flood risk segmented fire insurance using Rakuten data, which was covered in newspapers. We started a new program where Rakuten points can be collected when purchasing insurance, which is highly evaluated among Rakuten members. We are implementing measures that are not bound by industry customs. For example, we are developing ARIA, a system which supports agencies with AI. Today, I would like to introduce some features. ARIA, tell me what you can do for me.
Unidentified Company Representative: I can provide your schedule management and generating insurance product proposals and so on.
Yuzo Hashiya: Great, ARIA.
Unidentified Company Representative: Hashiya-san, time for the next presenter. Let's wrap up.
Yuzo Hashiya: Thanks, ARIA. We will continue to work on new innovations with our unique Rakuten style.
Unidentified Company Representative: Here are services that we offer under the payment. Those are real-world businesses with a very large user base and merchant network and are key businesses in the integration of online and off-line in the future. We provide a one-stop service from promotion of store visit to payments. After the third quarter, our merchant network reached 5 million. In addition, the number of stores that can use Suica implemented on Rakuten Pay app is 1 million, and the number of available train station is 5,000 nationwide. Rakuten Pay is expanding our services to users' various life scenes. Many clients and users are advocating our unique values such as Rakuten points, deep data analysis and the provision of safe and secure systems. In an environment where cashless payments are becoming more common throughout society, Rakuten Pay occupies one of its central positions and is establishing a solid position among various payment services. As of the end of September 2020, the number of monthly users of Rakuten Pay, including online and off-line, has reached 50 million. On the other hand, payment services play a role in attracting users from the off-line channel to the online Rakuten Ecosystem. Of the new Rakuten members, 1 in 4 comes from Rakuten payment services. We started linkage between Rakuten Pay and Suica in May, and one of the upcoming feature is charging Suica with Rakuten points. If Rakuten points can be used by the most used public transportation in Japan, the value of our points will increase further. In this way, services in the payment business also play a role in enhancing the attractiveness of the Rakuten Group. We will continue to increase our presence in the ever-expanding cashless field.
Unidentified Company Representative: Just 6 months after commercially launching the world-first cloud-native 4G network, we launched our 5G service in September 2020. Compared to conventional networks, this fully virtualized technology reduces CapEx by a deep 40% and OpEx by 30%. As a result, we have realized an unlimited data plan that meets a large capacity demand of the 5G era at ¥2,980 per month, with no additional charges from 4G. This is a 70% reduction from other comparable AO players. We also recently launched a zero campaign that provides administrative fees, SIM exchange fees, MNP transfer fees, et cetera all for free. Our goal is to democratize the mobile industry with affordable pricing. As you can see, Rakuten Mobile has been highly evaluated by our customers. It is not just our low price and an easy-to-understand plan. Customer satisfaction is also high in terms of throughput, quality and network stability. We aim to deliver this low-priced unlimited data communication experience to customers through our own nationwide network as soon as possible. Our plan is to achieve 96% population coverage through our own network for 4G services by middle of next year, about 5 years ahead of schedule. The cumulative number of MNO applications has now exceeded 1.6 million. The number of applications per day is steadily increasing. This is due to the success of a simple online application process and our customer acquisition strategy leveraging Rakuten's ecosystem. Policy changes that make switching between carriers easier is expected to further boost the pace of our customer acquisitions as the Rakuten coverage area expands. Here you can see CapEx level is higher in the third quarter. This is due to the front-loading of base station construction. On the P&L side, base station-related costs increased due to the accelerated build-out. And roaming costs increased due to the increase in the number of users. The 1-year-free campaign, targeting 3 million people, will come full circle from April 2021, gradually increasing revenues thereafter. The Mobile business is now one of the foundations of the Rakuten Ecosystem alongside e-commerce and FinTech and expected to boost other businesses. The Mobile business enables frequent and long-term contact with the consumers. We believe it will contribute to improving LTV by increasing customer loyalty to the Rakuten Ecosystem and encouraging cross-use. As for our global strategy, we have taken a first major step towards monetizing our MNO network overseas. As the cloud service industry grows rapidly across the world, our goal is for RCP cloud network to become a major pillar of earnings for the Rakuten Group. For more on RCP and how it works, here is a summary video.
Tareq Amin: Hi. I am Tareq Amin, the Chief Technology Officer for Rakuten Mobile. We have started the journey with a courage to explore, innovate and disrupt. We have achieved a global first in this industry; and recognize significant value in cost, operation and performance. Most importantly, all of this was done based on trust, resilience and secure platform. Opensignal recognize Rakuten Mobile as a global leader for best 4G experience and availability. Rakuten has a strong heterogeneous network solution that we have deployed, and we are following a -- very aggressive densification strategies at the areas needed. Since the launch of 4G on April 8, 2020, we have been focused on 3 key pillars. One is about coverage, coverage both indoor and outdoor. The second is about performance improvements, making sure that this network is able to handle and sustain the capacity and throughput needed for our customers. Number three is about stability and making sure that the reliability for this network is where it's needed. I'm glad to say that our radio technology has increased our single-site coverage by 30%. This obviously have resulted in a better national coverage with less site counts. We achieved this by establishing the world-first innovative open radio design, where we have integrated more antennas for capacity, more power per site, which offers better coverage. The radio innovation is only available on Rakuten network. Here you can see examples of our latest radio units supporting a very strong radio deployment. We have accelerated our deployment through our Rakuten Ecosystem, solution simplicity and process efficiency. Allow me to shed some highlights on some of these key achievements. In Rakuten networks today, to activate a service, it only takes 3 minutes. This is a massive breakthrough in Japan, where traditional service activation and provisioning takes hours. We have automated cell site commissioning, resulting in 4 minutes for 5G sites and 8 minutes for 4G sites. We think this is a massive breakthrough in this industry. We rolled out new features in a matter of days, not months. Our engineering team is 20x smaller than a typical telco; enable us to achieve productivity, efficiency and eventually pass these savings to our consumers. The cloud architecture brought further redundancy and resiliency in our platform. And on 5G innovation, with the launch of 5G on September 30, 2020, we have deployed sub-6-gigahertz and millimeter-wave radios; and introduced new 5G device, the Rakuten BIG. We also introduced 2 new virtual edge server types supporting the entire 5G workloads in Rakuten. The virtual open RAN stack is now fully containerized; and deployed in Rakuten communication platform, RCP. This is considered the world-first fully containerized 5G virtual open RAN stack. Then the result of this is a much higher performance, better scalability and a much more improved agility in our network. The containerized architecture has helped us to significantly reduce in our network the function size and bring-up time to activate the services. In addition, I want to highlight that the cloud-native 4G architecture enabled a smooth, cost-effective path to 5G. Rakuten network requires software upgrades, no longer about hardware upgrades. And allow me to highlight some key aspect of our 4G and 5G synergies. Number one, our radio. We are able to reuse all of our existing cell site assets. This is both logical and physical infrastructure. Our core network, we started by reusing our nonstand-alone 4G evolved packet core that will be eventually replaced in early 2021 with our cloud-native stand-alone 5G core. Our edge, only 2 hardware types, which is the world first; and our cloud is based on Kubernetes, which enables us for maximum elasticity. Thank you, and have a nice day.
Unidentified Company Representative: Data. Needless to say, massive amounts of high-quality data are of paramount importance in the digital advertisement industry. Rakuten has over 100 million Rakuten IDs and a huge amount of data associated with that. Not only do we have data from Rakuten's Internet services, such as Rakuten Ichiba. We also have an increasing amount of off-line data generated from use in off-line stores and services, such as Rakuten Card, Rakuten Pay and Rakuten Edy. This diverse range of data is a major strength and differentiating factor for developing our advertising business. On the other hand, coming third-party cookie regulation is said as the threat for digital ad market. However, most of the Rakuten data is high-quality first-party data linked to Rakuten IDs, which does not depend on third-party cookies. We see this regulation as a rather favorable opportunity to take advantage of our huge advertising inventory. Here is a comparison with other service platforms operating digital other business. Our major advantage is quantity and quality of Rakuten IDs, especially the strict identity verification by our credit card business and online and off-line consolidated purchase data linked with Rakuten IDs. Utilizing this data, our ad revenue is growing, particularly for brand manufacturers, as on Rakuten Ichiba. As a result, despite the slowdown in the Internet advertising industry as a whole to negative growth, Rakuten's ad sales grew at double digits year-on-year. Our other business can grow more by our such big asset, growing EC marketplace and the huge data we own.
Unidentified Company Representative: With the global trend of refraining from going out during the COVID-19 pandemic, the number of users of Rakuten's content services has increased significantly compared to the period before the pandemic. As number of users increased, the combined revenue of Rakuten Kobo, Rakuten TV and Rakuten Viki increased significantly in the third quarter. Especially for Rakuten TV, we are expanding the provision of remote control brands that allow direct access to the Rakuten TV platform, in partnership with smart TV manufacturers, to further expand the number of users. Currently we offer the service to about 90 million households in 43 countries in Europe, and we will continue to aim to expand.
Unidentified Company Representative: Also, Rakuten is the collection of various businesses. We have realized a very strong and unique ecosystem by being unified with one brand, one ID and one point program. Rakuten's point program both has extremely high point utilization rates due to its easy of understanding, accumulating and using contributing to foster loyal customers. In a customer survey of point accumulated most last year, total point satisfaction and point that made me happy, Rakuten points ranked #1 for all of them. Furthermore, by introducing and strengthening the SPU program, we promote cross-use between businesses, which contribute to efficient user acquisition. The SPU program enable our members to accumulate more point when shopping on Ichiba using multiple Rakuten services. As of September 2020, the cumulative number of point issues so far in Rakuten's history exceeded 2 trillion point. As a result, the cross-use rate of members using two or more Rakuten services has exceeded 70%. And the total number of active user steadily increased by double digits compared to the previous year. In addition, with digital acceleration, not only cross-use of services with high synergy such as Rakuten Ichiba, Rakuten Card and point card servicing, cross-use of new combination like Rakuten Seiyu Netsuper, Rakuten Direct and Rakuten Ichiba is on the rise. Let's look at how the SPU program promote cross-use of Rakuten's services, not just, you may call, increase. Rakuten point can be naturally accumulated just by using Rakuten's convenience services used in daily life. In addition, we have been able to acquire new user for Rakuten through Rakuten Mobile, which launched in April. And those mobile user have already started using other services of Rakuten, so it's expected that number of loyal customer will accelerate further. In the future, we expect the Mobile business will contribute to the Rakuten Ecosystem as the core of our new membership strategy. We will continue to take various measures to aggressively expand the Rakuten Ecosystem.
Unidentified Company Representative: Rakuten Group treats information security as one of the most important operational themes. Our vision is trustworthy, trustworthy for society, markets, customers, business partners and employees. We always remind ourselves that 100 minus 1 equals 0. All the trust we have cultivated can be destroyed immediately by one unexpected incident. With this in mind, we work day and night to ensure continuous maintenance and improvement of information security across Rakuten. As part of our COVID-19 countermeasures, Rakuten Group immediately moved from a trusted office environment to work from home, using a wide variety of productivity tools. I am confident that we are providing all the employees with a comprehensive virtual work space. Rakuten engages in various ways to guarantee security in the face of any threat. Our information systems and services are protected in multiple ways by employing our own specialized cybersecurity defense team. We have taken kind of advantage to pick and choose the best-of-breed security solution components by layer and integrate all of them without vendor locking. Currently, laws around the world are being established and revised regarding the appropriate use and protection of personal information and privacy. The Rakuten Group's BCR, binding corporate rules, were the first from the Japanese company to be approved by the EU authorities back in February 2017. Furthermore, to enable users to rebuild the data that they have agreed to share with us, development of the user consent right management platform, UCRM, is in progress. Rakuten is engaging in group-wide initiatives to respond to the legal revisions including Europe's GDPR and California's CCPA. Building on these experiences, we are preparing in every way to promptly respond to the 2020 amendment to the Act on the protection of personal information in Japan.
Unidentified Company Representative: Rakuten Ecosystem is empowered by AI and data from more than 70 services. From retail to finance, we leverage data to boost customer acquisition and lifetime value of our customers. Low customer acquisition costs and high LTV have been the key factors behind the success of Rakuten services, such as Rakuten Card. Our AI strategy centers on building a comprehensive customer management platform to grow our businesses, most recently Rakuten Mobile. As in the picture, I have established AI platform program to achieve this. Here I would like to highlight 3 products in 3 layers: super DB for data platform, customer DNA for customer understanding and AIris and PITARI for customer management. Rakuten super DB is a centralized data platform for Rakuten Ecosystem. Among more than 70 services in Rakuten Ecosystem, we have integrated 43 services in one data platform with single Rakuten ID. This is exactly what allows marketers to create cross-services across Rakuten Ecosystem. Based on this rich data, we build holistic understanding of Rakuten members, called customer DNA. Customer DNA describes each customer with more than 4,000 factual attributes. Going beyond factual attributes, we predict people's lifestyle such as owning cars or dogs. And we generally capture 10% to 20% of such populations in Japan. Leveraging this understanding of customers, we personalize services based on products called PITARI and AIris. PITARI is a product that personalize messages. For example, in Rakuten Mobile we show different message to our customers depending on whether they are in Rakuten network or KDDI roaming area. In order to acquire new customers, we combine PITARI with AIris, which is a look-alike solution that finds potential customers. We successfully implemented more than 1,000 personalized campaigns, generating more than 1.2 million cross-use, including 400,000 MNO registrations. This is how we are growing our ecosystem. And last but not the least, we truly believe the importance of customer privacy, so we want to leverage AI and data with customers' benefit at the top of our mind.
Unidentified Company Representative: Rakuten has implemented measures to give consideration to the safety of our employees and their families during COVID-19. First, we set up a task force team at the headquarters and; implemented 27 specific infection countermeasures, including automatic body temperature measurement, screening in the office and ensuring social distance in our offices. Not only in Japan, but we implemented similar measures in about 250 offices both in Japan and overseas, including the United States, Asia and Europe. And we have all been constantly collaborating and sharing information. In February of this year, we quickly switched to working from home. And while about 78% of our employees, excluding FinTech, have been working from home until now, excluding strategic investment business and investment business, operating income and profit-to-cost margin per full-time employee has about 60% to 70% higher than in Q1. This year, the cumulative total participating employees in Japan has reached 2,339 as of Q3. This is a situation expected at the end of the year. And the cumulative number of Kaizen-related project has reached 390. As shown in the graph, this has continued to -- significantly to the strengthening of the Kaizen culture and business growth. In addition to improving productivity, we are also focusing on improving quality. At Rakuten, we continuously measure the net promoting score, an index used to evaluate and improve the customer experience. This NPS score has improved by 9.1 points from Q2 2019 compared to our competitors even though we are operating under the COVID-19 pandemic. This is a result of promoting quality improvement activities and striving to improve high-quality service to our customers. And the number of planned quality improvements activity in 2020 has progressed steadily to 631. At Rakuten, we have formulated compliance programs tailored to a wide variety of businesses, and we thoroughly implemented 100% of the training that we carry out twice annually. And we review the contents each time to make it more effective. The education system itself is constantly being improved. The number of instance is decreasing, and measure of prevention of occurrence and -- being created and implemented. Finally, people and organization. Rakuten won the third place in 2019 LinkedIn Top Companies survey, which ranks companies which people would like to enter. Similarly, in terms of "popularity amongst new graduate and internship in 2019 that students were really happy to go to" category, Rakuten ranked first in the self-growth area and the third in overall ranking. This is due to implementation of our Back to Basics Project, a human resource management strategy from 2016 with aim to recruiting, cultivating and retaining excellent human talent from all over the world. Especially, we have worked on 34 measures such as introducing one-on-one feedback measures and revising the evaluation and compensation system and expanding training. The Rakuten Group which was founded by two people in 1997 has grown into a global company with more than 20,000 employees at the end of December 2019, which more than 5,000 are working at foreign countries. Among them, we highly value entrepreneurship and continue to make effort to inherit the corporate philosophy at the time of our founding.
Unidentified Company Representative: Work together is Rakuten's new slogan. We are close to our founding philosophy of empowering people and society through innovation; and we have a strong desire to work with our partners who support Rakuten, looking to the future. Over the past year, we've revised at -- Rakuten Group code of ethics to strengthen the elements of sustainability and human rights. We also established Rakuten Group's sustainability policies; and committed to important ESG issues such as environmental protection, human rights, social activities and governance. One example is the fact that we've joined RE100 last year. In October 2020, Rakuten was certified as an eco-first company by the Ministry of the Environment. We promised the Minister of the Environment to further improve our various efforts related to environmental conservation activities. On the social side, during the COVID-19 pandemic, we provided various support to employees regarding their maintenance of physical and mental health. Similarly, we've been working together to tackle this difficult situation while supporting Rakuten's business partners during COVID-19. In addition, through Rakuten first tax payments and Rakuten pledge donations, Rakuten users were able to donate a total of ¥1 billion to people who had a hard time due to COVID-19 and medical professionals. Rakuten's efforts and proactive stance on information disclosure have been highly evaluated, and Rakuten's major ESG ratings are improving year by year. And we've been selected as a constituent of these indices as shown in the slide. In terms of corporate governance, the Board of Directors reports and discuss issues regarding sustainability activities on a quarterly basis. The Board of Directors of Rakuten consists of a total of 7 directors, including four outside directors. With a focus on outside directors who are highly independent and experts in various fields, we supervise business execution from an objective perspective and freely and openly hold multifaceted discussions on management.
Unidentified Company Representative: The Rakuten Group achieved strong result in the third quarter. Revenue grew by double digit year-on-year. Even during the pandemic, we took advantage of the strengths of our diverse businesses and the Rakuten Ecosystem. Non-GAAP operating income declined as a result of aggressive upfront investment in Mobile and logistics. Excluding profit and losses from Mobile, logistics and the investments businesses that were affected by market fluctuation due to the pandemic, profits have increased significantly. Here is the waterfall chart of factors impacting non-GAAP operating income year-on-year. FinTech OI increased by ¥5.8 billion due to the impact of the new normal and cashless trends. Rakuten Ichiba and other businesses benefiting from advancing digital transformation also saw a boost in profits. On the other hand, the negative impact of COVID-19 hit businesses like Rakuten Travel, pushing down OI by ¥3.2 billion. Losses in the Mobile businesses continued to grow due to upfront investment, but the coverage area is steadily expanding due to the aggressive base station construction. Going forward, we aim to increase the number of users. By improving the quality of our communication services, we aim for profitability in Mobile as soon as possible. Large-scale investments such as Mobile and logistics are continuing, so we issued subordinated bond in November and raised ¥120 billion. In addition, this subordinated bond has been certified as capitalized by 3 rating agencies up to 50% of the total issuance amount. This was also a positive factor in our rating evaluation. The Rakuten Group is investing towards aggressive future growth, but at the same time we are keeping financial soundness in mind such as exit and sale of noncore businesses, including overseas businesses, so the business and the investment portfolio is continually being reviewed. In 2019, we sold our minority holding in Pinterest. We also completed the sale of OverDrive in the second quarter. In addition, the unprofitable Brazil operation and marketplace e-commerce businesses in the U.S. and Germany were successfully closed. And we conducted financing utilizing our Lyft shares. As a way of raising fund without increasing interest-bearing debt, we conducted cloud financing, effective in this fourth quarter, using the Lyft shares we hold. This was disclosed in a Form 4 filing in the U.S. We raised about ¥75 billion from this deal. Amongst our overseas businesses, Kobo, Viber and Viki achieved profitability in non-GAAP operating income in the third quarter. This was due to rising demand under the new normal environment. Furthermore, we focused on reorganizing our business portfolio. Investment in the Mobile and logistics business will continue, but we will strive to grow core businesses such as domestic e-commerce and FinTech. We will also promote disciplined financial management by focusing on selection and concentration of businesses.
Unidentified Company Representative: Thank you for watching. As you can see, Rakuten has strong leaders for each of the businesses who work together to enhance the ecosystem. Looking ahead, we continue to face challenges from the pandemic, but there are also opportunities from the ongoing digital transformation. One area of focus will be how we expand the value of our Rakuten Ecosystem by encouraging cross-use of multiple services by our new users, including our mobile customers. Please feel free to reach out with any questions. Thank you again for joining.
End of Q&A: